Operator: Greetings and welcome to the Rand Capital Corporation First Quarter 2020 Financial Results. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Deborah Pawlowski, Investor Relations for Rand. Thank you. Miss Pawlowski. You may begin.
Deborah Pawlowski: Thank you, Victor and good afternoon everyone. We appreciate your interest in Rand Capital and for joining us today for Rand’s first quarter 2020 financial results conference call. On the line with me today are Pete Grum, our Chief Executive Officer; and Dan Penberthy, our Executive Vice President and Chief Financial Officer. You should have a copy of the release that crossed the wire this morning as well as the slides that will accompany our conversation today, if you don’t have the slides, they are available on our website at www.randcapital.com. If you would now turn to the slide deck and look at Slide 2. I want to point out some important information. As you are likely aware, we may make some forward-looking statements during this presentation and during the question-and-answer session. These statements apply to future events that are subject to risks and uncertainties as well as other factors that could cause actual results to differ from where we are today. You can find the summary of these risks and uncertainties and other factors in the earnings release as well as in other documents filed by the Company with Securities and Exchange Commission. These documents can be found on our website or at sec.gov. So with that, let me now turn it over to Pete to begin. Pete?
Pete Grum: Thank you very much, Deb. Good afternoon everyone and thank you for your time and interest today. These are certainly unusual times given the COVID-19 pandemic and we hope that you and your families are well and safe. Even during this remote working situation, as you can see on Slide 3, we continue to work required to advance the transformation of Rand into a regulated investment company or RIC. We had announced in March the special dividend of $43.7 million or $1.62 per share that represents the distribution of our accumulated earnings and profits since inception and is required in order for us to like be treated as a RIC for 2020. The dividend is being distributed today and the stock will begin trading next dividend tomorrow. Approximately 70% of the shares outstanding, elected to receive the dividend and stock and the remaining 30% either elective cash or do not provide an elective, for that 30% the distribution will be approximately $1.06 cash and about $0.56 of stock. The stock value is to determine the number of shares for the stock dividend was based on the volume weighted average price from the three days of trading that ended on April 29, the price was $2.20 per share. Other news today is that the Board approved 1:9 reverse stock split. The reverse will be effective on May 21, at 5 PM and our stock will begin trading on May 22 reflecting the reduced share count. The Board also approved a new share buyback authorization. Under these authorization we can refer to up to $1.5 million of shares. Please turn to Slide 4. We show – share count impact of the dividend and what it should look like following the reverse split. Shareholders had approved at our shareholder meeting in December 2019, a reverse split within the range of 1:7 to 1:10. Let’s look at Slide 5 and let’s talk about the activity and our portfolio in the first quarter. We had a major exit with the sale of our investment in Outmatch for $2.3 million gain. There were couple other additional earn-outs for previous exits that amounted to just under $100,000. During the quarter, we invested $1.7 million in the public equity of five public BDCs which I’ll discuss on the next slide. Net asset value at the end of quarter increased $0.03 to $3.69 per share over the $3.66 and NAV per share at the end of the year. The benefits of large expenses from the externalization of management, a tax benefit and gains from the exits were offset by the negative impact of unrealized depreciation and the elimination of a deferred tax asset which was related to our extension to RIC status. Slide 6 highlights the BDCs we invested, which we invest $1.7 million during the quarter, representing about 5% of our portfolio these investments provide dividend income and greater liquidity to public equities and our other investment in our portfolio. These companies are much larger than we are in the range of market capitalization of $600 million to nearly $6 billion. Let’s turn to Slide 7. These charts demonstrate the diversity of our portfolio which we believe is an important factor in these challenging economic times. These portfolios indicate from the investment by each assets contributed to our diversity. Let’s talk a little bit about how we’re addressing the COVID-19 pandemic within our portfolio. As you imagine, everyone’s working to help the containment of the virus as we’re at Rand Capital. We believe our companies are doing what they can do to work remotely, impose social distancing and increase personal hygiene and sanitation protocol. As you might expect the current economic distress caused by COVID-19 will have an impact on our portfolio companies. We have been actively committing with our portfolio during this situation. Off the 36 companies in the portfolio, 30 qualified for the Payroll Protection Program loan afforded under the CARES Act and 26 of these companies applied for the program. The companies having a consumer focus are among those negatively impacted by the stay at home conditions throughout the country. [Indiscernible] matter those that have products or services and are necessary during this crisis such as healthcare and software or technology. For example one of our companies applied and received, approved for their emergency use authorization for assay testing of COVID-19 throughout - although the Rheonix COVID-19 MDx Assay has not been FDA cleared to approve. In addition to another’s company’s placebo the technology enabled health plan that provides a lower cost option for self-funded healthcare plan, providing both employers and their people better lower cost healthcare experience, recently launched in the several new states. While we believe our portfolio diversification provides a degree - against the disruption of the economy, we’re not immune to the condition. Slide 8, lists the top five investments in our portfolio that comprise 54% of our total portfolio assets. Among them Tilson has experienced strong demand in this environment while others are flexing as needed. Please turn to Slide 9. The mix of equity investment versus debt investment with 59% equity and 41% debt at the end of the March quarter. Equity interest declined from a level of 65%. The end of 2019 with the exit of Outmatch which has been about 6% of our portfolio. Our investment thesis have changed with the transformation of RAND. Our focus is now growing investment income that will find our plan ongoing cash dividend. As a result, we should expect our portfolio will continue to shift more towards interest and dividend paying above. I shall note that during the stay at home environment while the pipeline for investments remain robust, our ability for due diligence has been impeded. This makes it difficult to be active at our funding process, but we will continue to do the ground work so that we can and complete our site visit as the local government reduction reinstruction [ph]. Let me turn to Dan to review our financial in great depth. Dan?
Dan Penberthy: Thanks Pete and good afternoon, everyone. If you could please turn to Slide 11. I’ll start with net asset value per share or NAV. As Pete mentioned we finished the quarter with NAV of $3.69 per share, this was up $0.03 from the end of December. I’ll cover this more on the next slide. Let me point out, the significant change in NAV compared with the first quarter of 2019 period of $1.37 per share was primarily attributable to the $0.83 per share diluted effect of issuing 8.3 million shares were added to East in November. At the end of 2019, we also had a number of write-downs in certain portfolio companies. Slide 12 has a summary of our operating performance for the first quarters of 2020 and 2019. Total investment income in the first quarter of 2020 was $636,000 down $83,000 from last year’s first quarter. The prior year period benefited from an atypical level of fee income of $225,000 in conjunction with the repayment of $3.5 million loan instrument of a former portfolio company eHealth. Excluding this payment, investment income was up approximately $140,000 demonstrating the success we’ve been having with shifting our portfolio into one that delivers more interest income. This will enable us to an anticipated regular cash dividend in the future. Another important element of our transformation was the externalization of the management of the Rand portfolio to Rand Capital Management which is the registered investment advisor for Rand. Our first quarter expenses were down about $173,000 mostly from the benefit of this externalization. Strong investment income, lower expenses and the tax benefit from the CARES Act and other tax adjustment resulted in a net investment gain of $538,000 for the quarter. Results this quarter did have more complexities than a typical as I’m sure you’ve realized. We held the benefit of Outmatch sale, which resulted in a $2.4 million gain. However another impact in the quarter related to our intention to convert to a regulated investment company or RIC and this was the elimination of $1.4 million deferred tax asset because we plan to elect RIC status for 2020 and pass through our earnings to shareholders. The tax asset is no longer of use and we will require to write it off. The net results was a net realized and unrealized loss of $108,000 in the quarter compared with the gain in the prior year period of $433,000. Thus net-net, we had an increase in net asset value of $430,000 or $0.03. If you would turn to Slide 13 please, we can discuss the uniquely strong position we’re in during this disruption to the economy caused by the Coronavirus and the effort to curve the spread. With the investment from East. We have a historically high level of cash of $29.1 million, of that $13.5 million is at the SBIC for making investment and $15.6 million is at the parent and provides a significant amount of liquidity for us as well as additional investment opportunity. Total liquidity also includes $3 million of availability of leverage commitment from the SBA. The $11 million owed to the SBA matures over multi-year period that doesn’t begin until the $3 million first tranche which is due in 2022. We distributed today $4.7 million in cash along with special dividend. However, even after that distribution we remain highly liquid. The table on this slide shows a composition of our NAV as well. That completes my formal comments Pete. Pete, would you like to open it up the line for question.
Operator: [Operator Instructions] our first question comes from Sam Rebotsky with SER Asset Management. Please proceed with your question.
Sam Rebotsky: Pete and Dan, we have $29 million in cash approximately now and we used $4.7 million for distribution. What is your plans as far as keeping the number of cash and it would appear the type of investment that produce capital gain would not be made in the future is that accurate?
Pete Grum: We will tend to look for instruments to provide a current income so that we can pay a dividend. However within the SBIC you’ll see investments that still tend to have an equity component of them.
Sam Rebotsky: So what is our expectation to $25 million more or less that we have now of investing that? I presume until all these transactions are complete, you may not be sure how much cash was going to be requested and now that you – is there a number that you want to keep or are there opportunities to create greater income that you’d like to do presently?
Pete Grum: We would like to be fully invested and are looking for opportunities as we alluded to it. It’s a little bit tougher when you can’t go and meet with companies. We are working with investment bankers and there maybe opportunity to buy portfolios going forward. But in our interest and the shareholders interest for us to deploy the money within a prudent manner sort of a lot of the fair amount of liquidity has come from Texas which were in the past not able to forecast. So we’ve had – the end of the year we filled our equity Microcision and we had Outmatch. But we’re looking for opportunities and we’ll continue down that path.
Sam Rebotsky: And the dividend will be paid once a year or quarterly or when do you expect that to happen?
Pete Grum: I believe it will take where we’ll be paid quarterly, that’s up to the board. But we will certainly address it in the second quarter.
Sam Rebotsky: All right. Good luck.
Pete Grum: Thanks Sam.
Operator: Thank you. [Operator Instructions] it looks like we have no further questions at this time. I would like to turn the floor back over to Mr. Grum for closing remarks.
Pete Grum: Thank you for your interest in Rand Capital and we’re excited about the future. Want everyone to stay safe as always. We’re available by phone. So give us a call, if we didn’t answer your question. Thank you.
Operator: Ladies and gentlemen, this has concluded today’s teleconference. You may now disconnect your lines at this time. Thank you for your participation.